Operator: Good day. My name is Todd, and I will be your conference operator. At this time, I would like to welcome everyone to the Fourth Quarter and Full-Year 2023 Li-Cycle Holdings Earnings Call and Webcast. [Operator Instructions] Thank you. I will now turn the call over to Nahla Azmy, Head of Investor Relations. Please go ahead.
Nahla Azmy: Thank you. Good morning and thank you everyone for joining us for Li-Cycle's business update and review of financial results ended December 31, 2023. We will start today with formal remarks from Ajay Kochhar, Co-Founder, President, and Chief Executive Officer; Tim Johnston, Co-Founder and Executive Chair; and Debbie Simpson, Chief Financial Officer. We will then follow with a Q&A session. Ahead of this call, Li-Cycle issued a press release and a presentation, which can be found in the Investor Relations section of our website at investors.li-cycle.com. On this call, management will be making statements based on current expectations, plans, estimates, and assumptions, which are subject to significant risks and uncertainties, most of which are difficult to predict, and many of which are beyond the control of life cycle. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect including because of factors discussed in today's press release, during this conference call, and then our past reports and filings with the U.S. Securities and Exchange Commission and the Ontario Securities Commission in Canada. These documents can be found on our website at investors.li-cycle.com. We do not undertake any duty to update any forward-looking statements, whether written or oral, made during this call or from time to time to reflect new information, future events or otherwise, except as required. These forward-looking statements should not be relied upon as representing Li-Cycle's assessments as of any date subsequent to the date of this call. With that, I'm pleased to turn the call to Ajay.
Ajay Kochhar: Thank you, Nahla, and good morning everyone. On our last call held in mid-November, we committed to providing an update on our progress since pausing construction, initiating a strategic review of the go-forward strategy for our Rochester Hub. Today, we're pleased to share the meaningful steps taken towards achieving the key objectives from this review, and also to discuss our 2023 financial and operating results. Starting on slide three, on the left-side are the key objectives we discussed on our last earnings call. On the right-side, I will review the highlights and key actions we've taken to help achieve them. We'll provide more on these later in the presentation. First, regarding financing, the Special Committee of the Board of Directors conducted a robust process to review and evaluate potential, financial, and other strategic alternatives available to the company, including to increase our liquidity. After careful review and assessment of the alternatives identified through this process, and consistent with the recommendation of the Special Committee, Management and the Board were pleased to expand upon Li-Cycle's existing long-term partnership with Glencore to increase their strategic investment in Li-Cycle by $75 million. Second with respect to the DOE loan process, simultaneous with our comprehensive review, we've been actively engaged with the DOE Loan Programs Office regarding the conditional commitment for a loan of up to $375 million. Third, regarding liquidity, we implemented a cash preservation plan to reduce non-core spend to slow cash outflows, while we evaluate financing options to support our ongoing operations and a restart of construction at the Rochester Hub project. Finally, on the Rochester Hub, as part of our comprehensive review, we've been conducting an internal, technical, and economic review to assess a possible change in the project development strategy. The review confirmed the technical viability of the process to produce lithium carbonate and Mixed Hydroxide Precipitate or MHP. Turning to slide four, for an overview of our partnership with Glencore, it has now been nearly two years of collaboration with an alignment of strategic vision, technical expertise, and asset networks. In 2022, Glencore invested $200 million in Li-Cycle through an unsecured convertible note, and designated us as their preferred recycling partner. We formed a global strategic collaboration that aims to create an integrated platform to supply global customer base with both primary and recycled critical battery materials. Specifically, we've previously entered into long-term intake and offtake commercial agreements, which enable us to jointly develop feed opportunities for our spokes, secure offtake for the end and byproducts produced at our spokes and hubs, and obtain a supply of key region inputs for our future hubs. Turning to slide five for details on Glencore's additional investment for $75 million in a senior secured convertible note, this investment which enhances Li-Cycle's liquidity represents an interim step in our funding strategy to support our future plans. These notes will have a five-year maturity to March 2029, and will have an initial conversion price of $0.53 per Li-Cycle common share. The cash interest payments will be based on the Secured Overnight Financing Rate or SOFR plus 5% per year, and Payment In Kind or PIK interest payments will be based on SOFR plus 6% per year. In addition, Li-Cycle and Glencore have agreed to amend the terms of the existing Glencore convertible unsecured note, which was issued to Glencore in 2022, and currently has an aggregate principal amount outstanding of approximately $225 million, which includes the PIK into two tranches. The two tranches would have, among other changes, extended maturities and a reset conversion price to the lower offs, and amounts based on the 30-day VWAP of the 25% premium and $9.95 per share in each case based on the earlier of certain trigger events. For Tranche 1, the modification date would be the earlier of one month after the effectiveness and initial funding of a project loan financing for the Rochester Hub, in December 31, 2024. And for Tranche 2, the modification date would be earlier of the first commercial production from the Rochester Hub, construction costs exceeding the construction budget set forth in the project loan financing in June 1, 2026. As discussed earlier, we believe this additional financing with Glencore demonstrates continued support of Li-Cycle's business model. I'll now turn this over to Tim to cover a review of the portfolio and operations.
Tim Johnston: Thank you, Ajay. Turning to slide six to discuss our Black Mass production strategy, in 2023, we produced 6,825 tonnes of black mass more than 1.5x the level achieved in 2022. This exceeded the top end of our revised guidance of 5,500 tonnes to 6,500 tonnes. As noted on prior calls, in the near to midterm, our black mass production will be tied to the availability of feedstock in local markets and to key strategic customers in close proximity to our spoke operations. Longer term, we will strategically time production in line with the internal demand for black mass. Turning to slide seven for the highlights of our spoke operations covering battery material sourcing, processing as well as black mass production; first, regarding the composition of source battery materials. As seen on the top left, in terms of form factor, the predominant lithium ion battery intake material continued to be manufacturing scrap followed by EV battery packs. On the right-side for our intake of various battery chemistry types, the largest bucket in 2023 remained NMC. However, it is worth noting that we are in the position to serve the adoption of changing battery chemistries, including LFP, which has been gaining prominence in the industry particularly in Europe, with respect to our spoke operations for processing battery materials and our black mass production. In the fourth quarter, we exceeded 80% availability at our operating U.S. spokes including the processing of EV battery packs at our Generation 3 site. In the fourth quarter, of the total battery materials processed at our U.S. Generation 3 spokes, approximately 45% was EV battery packs. These EV battery packs can weigh upwards of 1,000 pounds and can be processed using our Generation 3 spokes advanced technology to process full EV battery packs with little to no disassembly and without the need to discharge. Turning to slide eight for an overview of Li-Cycle's commercial agreements, we have the capability to process all types of lithium ion batteries independent of form factor and chemistry. This capability combined with the operational capacity in both North America and Europe has enabled us to build out a diversified global customer base. As shown on the left of the slide, our customer base spans the entire battery supply chain, including being a preferred recycling partner with leading global battery EV and energy storage OEMs. On the right side of the slide, we maintain a mix of short and long-term intake and offtake commercial arrangements. At the spoke level, we entered into battery material intake contracts, which range from spot, multi-year to evergreen durations complemented by offtake arrangements for the black mass produced at our spokes. At the future hub level, we have offtake arrangements for our end and byproducts with Traxys and Glencore. Briefly regarding pricing, it is important to note that our contracts are predominantly indexed to underlying market prices for metals. Turning to slide nine for the status of our network portfolio, we have slowed operations at our spokes network, including pausing operations at the Ontario spoke, slowing operations at the New York, Arizona and Alabama spokes on an ongoing basis and are currently reviewing further pauses or slowdowns. The timing of the France, Norway and Germany Line 2 are currently all under review. We are prioritizing Generation 3 spokes and aligning with EV and battery OEM customers as they continue to ramp capacity in North America and Europe. We have paused construction on the Rochester Hub, which we will discuss in more detail later in the presentation. We've also paused the development of the Portovesme Hub while undergoing further review with Glencore on this project. Turning to slide 10 for a brief overview of our spoke technology, as a reminder, Li-Cycle developed a patented process for processing all forms of lithium-ion batteries regardless of chemistry, form factor or state of charge. This environmentally friendly process does not rely on any thermal treatment, produces no waste water and is highly scalable for the growing EV battery market. Turning to slide 11, we show the status of the Rochester Hub project at the pause in October 2023. Through to December 31, 2023, we incurred total cost of approximately $567 million on the project, comprised of a total cash spend of $452 million and cost incurred but not yet paid of approximately $115 million. Turning to slide 12 for a discussion on our analysis of a change in the project development strategy for the Rochester Hub project, the review is focused on the construction, commissioning, and operation of the hub with the intent of producing lithium carbonate and MHP. Notably, both MHP and sulfate's approach maintain the production of battery grade lithium carbonate. With the MHP approach as depicted by the green arrows, black mass is processed to produce MHP, a combination of nickel, cobalt, and manganese metals. MHP can be sold to a refiner ahead of being supplied to the battery precursor industry. With the sulfate approach as depicted by the gray arrows, black mass would be converted directly into nickel and cobalt sulfate ahead of being supplied to the battery precursor industry. We have no current plans that include the production of nickel sulfate and cobalt sulfate. However, the areas dedicated to the production of nickel sulfate and cobalt sulfate are being left intact under the MHP scope to allow for the potential construction, completion, and integration in the future. We are conducting an internal technical and economic review of the Rochester Hub project which resulted in an estimated cost to complete of approximately $508 million, including cost incurred but not yet paid off approximately $115 million as of December 31, 2023. Taking into account total cash spent of approximately $452 million as of December 31, 2023, we expect the revised estimated project cost of the Rochester Hub project to be approximately $960 million for the MHP scope. We know this estimate is subject to a number of assumptions and is likely to change as we continue to complete our comprehensive review work, including reengaging and re-bidding construction subcontracts. The increase in estimated project costs as compared to the prior range of approximately $850 million to approximately $1 billion that included the expected production of nickel sulfate and cobalt sulfate from November 2023 is primarily due to further refinement of the methodology used to estimate the project cost based on the MHP scope. Importantly, our internal technical review confirmed the technical viability of the MHP process. In addition to the cost to complete, we will incur costs during the construction pause between October 23, 2023, to the project restart date, which we expect to fund with current cash and required additional interim funding. We will also incur other costs such as working capital, commissioning, ramp-up costs, and financing costs, which will be included in the full funding solution. As we have indicated, we will require significant additional funding before restarting the construction of the Rochester Hub project. I will turn this over to Debbie to provide a review of the financials.
Debbie Simpson: Thank you, Tim. Turning to slide 13 for a review of our 2023 financial results, before covering the details, I would like to note that our 2023 financials reflect calendar year reporting as well as the transition to U.S. GAAP from IFRS reporting. As you will see, U.S. GAAP is a functional income statement presentation. We will now seek separation of our expenses between cost of goods sold and SG&A, a change from the line item detail in the nature-based approach with IFRS. Moving now to a discussion of the actual results for 2023 versus 2022, starting with sales of black mass, which were 4,324 tonnes, a 3% increase versus the 4,192 tonnes sold in 2022. Product sales and recycling services revenues before non-cash fair value pricing adjustments increased to $23.6 million, a 34% increase compared to $17.6 million in 2022. The increase was largely driven by a higher value product sales mix, coupled with higher recycling services revenues from new service contracts, and partially offset by reduced market prices for cobalt and nickel. Total revenue was $18.3 million compared to $16.5 million in the prior year, reflecting an unfavorable non-cash fair value pricing adjustment of $5.3 million versus $1.1 million in 2022, related to the lower market prices for cobalt and nickel. Moving to cost of sales, which were $81.8 million versus $55.2 million in 2022. Variable and fixed costs related to black mass and shredded metal products sold in the period were $29.1 million compared to $23.2 million in 2022. This reflects increase in raw material acquisition costs and other production costs. Fixed and other costs for the Spoke network not capitalized to inventory and expensed in the period were $34.9 million compared to $16.9 million in 2022. The increase was primarily due to higher Spoke costs, including personnel costs, leases, and depreciation from the existing and new Spoke assets in Germany. In addition, cost of sales includes fixed and other costs related to production assets and development. $7.4 million related to the Rochester Hub compared to $2.6 million in 2022, and $10.4 million related to the Spoke network and development compared to $12.5 million in 2022. SG&A expenses were $93.4 versus $81.3 million in 2022, primarily driven by higher personnel costs before implementing the workforce reduction in November 2023. We note that prior to the construction pause at the Rochester Hub, we had hired operations personnel in anticipation of the Hub commissioning. We also increased headcount to support the expanding Spoke network, capital projects and corporate requirements, further increasing our cost of sales and SG&A. Research and development costs were $5.7 million versus $2.7 million in 2022 and were primarily related to the personnel costs and professional fees incurred for the initial R&D for the Portovesme Hub. Other income was $24.7 million, a decrease of $27.2 million compared to the prior year, which was primarily related to a decrease in fair value gains on our convertible debt. Adjusted EBITDA loss was $166.4 million compared to a loss of $118.5 million in 2022. This was largely driven by higher cost of sales and increased SG&A related to the growth and expansion of the business. Turning to slide 14 for a discussion on the actions taken on the cash preservation plan, at the beginning of November, we implemented a cash preservation plan, which has helped to reduce cash outflows while we explore strategic alternatives and financing options to increase liquidity. We are diligently working to manage our cash to support our liquidity needs. First, on the spoken hub capital spend, we paused construction at the Rochester Hub while we are completing our review of the go-forward plan for the project, curtailed Spoke production to focus on key customers and pause development of new spoke capacity. Second, on improving working capital, we have been actively engaged with contractors and suppliers to the Rochester Hub project to negotiate extended payment plans as well as extending other payment cycles and implementing other similar measures. Additionally to the extent possible, we have been pulling forward payment terms for black mass sales. Third, on rationalizing our cost structure, we will continue to further right size and reshape our organization, further reduce costs at are our spoke operation, and additional cuts to non-core SG&A cost. As of December 31, 2023 and March 15, 2024, Li-Cycle had cash and cash equivalent on hand of approximately $71 million and $35 million respectively. Excluding restricted cash of approximately $10 million and expected gross proceeds from the Glencore financing of $75 million which is expected to close on or around March 25, 2024. Coupled with expected gross profit from the Glencore financing, we estimate pro forma cash to be approximately $110 million. We expect that the results from the cash preservation plan in order to lower cash outflows in order to maintain current operations until we are able to obtain more substantial financing. I will now turn back to Ajay.
Ajay Kochhar: Thank you, Debbie. Turning to slide 15, just taking a step back, we continue to see favorable secular industry demand trends in North America and Europe. The chart on the left illustrate the rising adoption of electric vehicles per sales closing record growth adoption at an approximate 45% CAGR from 2019 to 2023 based on the third party sources. Notably these third party industry sources are projecting that EV sales were build on a strong base growth, posting a 25% CAGR through the end of the decade. As seen of the right, these growth dynamics support the robust demand for expanding market for recycling of all forms of lithium-ion batteries. Near to midterm, the increase in recycling material was largely driven by manufacturing scrap from gigafactory growth supplemented by end-of-life battery feedstock towards the end of the decade. It is projected by 2030, demand for recycling material will increase by up to six times from 2023 levels. Turning to slide 16, concluding on Li-Cycle's go-forward strategy. First, regarding the financing strategy, we are excited to work with Glencore to close the interim financing. And initially, we continue to work closely with the DOE on the progressing the conditional commitment for a loan of up to $375 million. Second, with respect to the Spoke & Hub network, we are evaluating our spoke production to drive down cost and focusing production through our Gen-3 spokes to support key customers. And finally, we remain focused on completing our analysis of our go-forward approach for the Rochester Hub. Before we turn to Q&A, we just want to take a moment and express our gratitude to multiple supporters during this significant transition. First, we are immensely proud of the Li-Cycle team for their continued commitment, hard work, and dedication. Second, we are very appreciative of our customers, suppliers, the DOE, and our financial advisors for their continued support and collaboration as part of our go-forward business plans for the Rochester Hub. Of special note, we're excited and appreciate Glencore's support and continued cooperation. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from Brian Dobson with Chardan Capital Markets. Please go ahead.
Brian Dobson: Thanks very much for taking my questions this morning. So, as you think about your ongoing conversations with DOE, has the nature of the conversations changed since you put the facility in strategic review? And would you consider the awarding of those funds as necessary, or to continue construction in that with their project?
Ajay Kochhar: Hey, Brian, it's Ajay here. Yes, thanks for the question. So, starting with our engagement with the DOE since the pause, as I said, [indiscernible] the call, we're very thankful to DOE for continuing to actively engage with us and be very supportive, and that hasn't changed to be frank over the last couple of months. So, with this interim financing imminently closing, we're looking forward to continuing to progress there towards close with DOE. So, that's number one. And then, number two, the way to think about our go-forward funding is really in two parts. Number one is around interim funding, the cash on hand and then we have a cash preservation plan to extend our runway as long as possible. And then, there's really the need of the project and today we gave you a bit of an updated view of our latest estimates of where that is and there's more work to do on that, including with the relevant subcontractors to refine that estimate. But that all in all is going to require full funding solution, and the project financing loan aka DOE, is obviously a key part of that, but depending on where those numbers come out and what the full funding need is, we'll be looking to get together a full funding solution. So, we use those words that's what it means. The DOE is part of that, but it needs to be informed also by where we ultimately land up in terms of the more refined estimate.
Brian Dobson: Okay. Thanks for that color. As you're contemplating resuming coverage, and you had mentioned rebating aspects of the project, have you been in -- I guess, have you maintained relationships with your former contractors and would you need to change contractors in order to proceed forward, or do you think that those relationships could be resumed in the immediate future?
Ajay Kochhar: Yes, thanks. That's one is for Tim to take.
Tim Johnston: Hey, Brian. Nice talking to you. And so, similar to what Ajay was saying at the end, we've had immense support from the contracting community, particularly the contractors within the Rochester region. I think everyone is aligned and has a desire to see this project through to completion. Our focus from a go-forward perspective is really how do we best contract the project for the remaining scope of work that needs to be done? We're open to the right strategy, that's part of the work that we're going through at the moment and we're working with that local contracting community to work that out and that will be something we'll be able to provide more updates on Brian as we get closer to a potential restart.
Brian Dobson: Yes, excellent. And as you look around your portfolio of assets and you're contemplating, call it, demand in the United States and Europe, which areas appear most appealing to you over the next two to three years?
Ajay Kochhar: Yes, I could take that. It's Ajay. Yes look, I mean, I think we've seen both markets grow frankly in a similar way from an amount of material available for recycling. Obviously, we're very present in both North America and Europe. Part of today, we want to give a little bit more color on our customer base. You saw those quoted figures of OEMs and battery makers. So, those customers stand both North America and Europe. And so, I'd say in short brands, it is pretty neck and neck in terms of growth and each market has its own features in terms of the regulatory landscape, incentives, policy, et cetera. So, yes, so today I'd say in summary as I said there, it's equal from our perspective.
Brian Dobson: Okay, excellent. And just one final super quick one, do you have any concerns about wastewater at the Rochester facility that was brought to completion and went into operation?
Tim Johnston: Yes, Brian, and so I can answer that, so to let me sort of break that up into two parts, to be very clear, the project that's currently under care and maintenance has never had any reagents or materials introduced into it, so it's purely a construction site at this point in time. So, just from a status perspective today, from a go-forward perspective, one of the key aspects of the design on the Rochester Hub facility is what we call a zero liquid discharge system. And so, essentially where traditional facilities would be discharging industrial wastewater, we've invested in technology and capital to be able to effectively reclaim that water and avoid the need for an industrial wastewater discharge. It's part of our overall ethos, Brian as a company as we look across our sites.
Brian Dobson: Excellent. Thank you very much.
Tim Johnston: Thank you. Appreciate the questions.
Operator: [Operator Instructions] Our next question comes from Matthew O'Keefe with Cantor Fitzgerald. Please go ahead.
Matthew O'Keefe:  Thanks, Operator. Thanks for taking my call. Just two questions here. One, with the scope change of making MHP, which is the point you have going forward here, does that change your permitting status at all? Do you need to get amendments to your permits? Are there any changes there we should be thinking about?
Ajay Kochhar: Good morning, Matt. Hey, it's Ajay. I'll turn it over to Tim.
Tim Johnston: Good morning, Matt. And so, the short answer to that is no major changes required from an environmental permitting perspective. It's still the same materials. It's a smaller operating footprint, so it would be within our existing permanent framework. The only consideration is what we would call normal construction style permits and some modifications to those as one or two of the areas are a little bit physically different, but that's the only difference there Matt.
Matthew O'Keefe: Okay. So, that won't impact your proposed well, your revised timeline at all?
Tim Johnston: No.
Matthew O'Keefe: Okay. And then, just on the timeline, I know it's still a lot of moving parts here and it's going to take some time. But with the Glencore convert, you buy yourself a good amount of time. I don't know whether it's maybe a year to 18 months of runway. You can correct me if you can give me more color on that. But once you do get sort of a financing solution in place, roughly how long would it take to complete the facility construction and then sort of get into your ramp up?
Tim Johnston: Yes, good questions, Matt. And obviously things, a lot of folks want to understand. I think at this stage what we're doing is we're right in the midst of these, just did a terminal technical review, looking at the technical economic viability, which was good and that was positive. And now I think the key thing that we need to get done in the coming periods is really this subcontractor bidding. So, before we come out and start talking about timeline and whether it's going to be, we have to do, but that needs to be informed by the folks who are actually going to do the work and that's the key next thing that we're going to be looking to define. So, I think post that then at the right time, we'd love to get some color, but where we stand today, we're still reviewing.
Matthew O'Keefe: Okay, yes, it is helpful. Thank you. That's it for me.
Tim Johnston: Thanks, Matt.
Operator: [Operator Instructions] And it appears there are no further questions in the queue at this time. I will turn the call back to Ajay for his closing comments.
Ajay Kochhar: Thanks very much. And again appreciate everybody's time as I mentioned right towards the end of the call. I know the support from our various stakeholders in this period and we look forward to updating everybody as we progress. Thank you.
Operator: This does conclude today's call and webcast. You may disconnect your line at this time and have a wonderful day.